Operator: Greetings, and welcome to AutoZone's Fourth Quarter 2023 Fiscal Earnings Release Conference Call. At this time, all participants are in a listen-only mode and a question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. We will now play our Safe Harbor statements. 
Unidentified Company Representative: Before we begin, please note that today's call includes forward-looking statements that are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future performance. Please refer to this morning's press release and the company's most recent Annual Report on Form 10-K and other filings with the Securities and Exchange Commission for a discussion of important risks and uncertainties that could cause actual results to differ materially from expectations. Forward-looking statements speak only as of the date made, and the company undertakes no obligations to update such statements.  Today's call will also include certain non-GAAP measures. A reconciliation of non-GAAP to GAAP financial measures can be found in our press release.
Operator: It is now my pleasure to turn the floor over to your host, Mr. Bill Rhodes, CEO, Chairman and President. Sir, the floor is yours.
Bill Rhodes: Good morning. And thank you for joining us today for AutoZone's 2023 fourth quarter conference call. With me today are Phil Danielle, our CEO-Elect; Jamere Jackson, Chief Financial Officer and Brian Campbell, Vice President, Treasurer, Investor Relations and Tax.  Regarding the fourth quarter, hope you've had an opportunity to read our press release and learn about the quarter's results. If not, the press release, along with slides complementing our comments today are available on our website, www.autozone.com, under the investor relations link. Please click on quarterly earnings conference calls to see them. As we begin, we want to thank our AutoZoners for their incredible contributions during fiscal 2023 that resulted in our solid performance. As our pledge states they continued putting our customers first, which resulted in total sales growth of 7.4% for the fiscal year, while earnings per share increased 12.9%. It's important to remember that these results build on the phenomenal three year performance from the pandemic years of 2020 to 2022.  Candidly, Phil, Jamere, Tom Newbern, and I felt at some point we would see our sales per store migrate closer to pre-pandemic levels. That hasn't happened. And at this stage, we do not expect it will. To put it in perspective, our domestic average weekly sales per store are 33% higher than in 2019, growing from $35,600 a week to $47,300 a week. This level of growth and sales also drove enormous growth in operating profit, where this year's $3.474 billion was 61% above 2019, when adjusted for the 2,019, 53 week. That is remarkable growth, especially for a 44-year old enterprise. We could not have achieved this success without exceptional efforts across the entire organization.  We have several updates for you this morning. First, I'm sure you've noticed the new table in our press release. We are now presenting our same store sales results for domestic, international and total company. We're also reporting our international same store sales, which includes both Mexico and Brazil, on both an actual and constant currency basis.  Why the change? The answer is International is becoming a larger and larger part of our business, and we are investing a sizable amount of our growth capital in those countries. As we evaluate important growth metrics, we think it is important to assess it in total. As we know this is a change we are committed to providing you with each component individually for at least five quarters, as our objective is to enhance your visibility.  Next, our domestic same store sales were 1.7% this quarter compared to 1.9% last quarter, and about half of our fiscal 2023 growth of 3.1%. Our performance in retail was respectable and generally in line with our expectations. But as was well documented last quarter, our commercial sales performance in the second half of our fiscal year declined meaningfully and to us unacceptably. We ended with 3.9% growth in domestic commercial sales.  Our performance in both retail and commercial in the first half of the quarter was disappointing, but during this period we experienced very mild weather. As we reached the second half of the quarter, and temperatures escalated materially, so did our sales. Specifically for the first eight weeks of the quarter our retail comps were flat, but increased 3.4% in the second half. Commercial experienced a similar trajectory, ending particularly strong in the last four weeks of the quarter, up over 7%.  Regarding regional results, we saw a material performance gap between the Northeast and Midwestern markets versus the rest of the country. The total comp difference was well over 300 basis points and over 450 basis points for commercial. We attribute this to the lack of winter weather and snowfall in the latter part of last winter in that region. This has led to lower growth trends in undercar categories. Both those are things that "happened to us, not what we did to enhance and improve our performance."  Last quarter, we highlighted that we were not executing at our peak levels. We have made many changes since then, and are pleased with the improvements in execution we are seeing. We aren't there yet. But we're on a really good path. We also recently completed another strategic review of our commercial business. We have validated our direction and have some exciting new enhancements that we will be testing over the next few quarters. We also made significant improvements in the information technology that we use to operate our commercial business, and we opened many more commercial programs, reaching 90% domestic penetration for the first time in our history.  Even more encouraging is how strong those new openings are starting and how many -- many weeks -- or they're just a few weeks old. Ultimately we will operate in a favorable and unfavorable macro and weather environment. We want to share our perspectives with you so you can understand our performance. But ultimately, it is our actions that will determine our long term success. And we're encouraged by the actions we're taking.  Finally, our strategy supporting our store operations and commercial teams includes several other key elements. Global new store growth, where we disappointingly didn't achieve our goals in FY23, more on that later; continued growth with our hubs and in particular, mega hubs, where we are nearing the halfway point of our ultimate goal of having 200 mega hubs and 300 hubs.  It's important to reinforce the continued, very strong performance of these stores, especially the mega hubs, and particularly in commercial; reconfiguring our global supply chain to efficiently process the enhanced sales we have achieved and expect to achieve over the next decade, while optimizing our processes for handling more direct import products from many countries, and more challenging slow turning parts assortments that are critical to our success; and finally continuing to lean in hard on technology improvements to make our AutoZoners more knowledgeable, efficient and effective.  I've given you the high level sound bites on the quarter's results. Now I'd like to introduce Phil Daniele to give more in-depth color on the quarter. Phil?
Philip Daniele: Thanks, Bill. And good morning, everyone. I'm honored to be participating in my first earnings release conference call.  I will start by reviewing our Q4 overall same store sales, DIY versus DIFM trends, our sales cadence over the 16 weeks of the quarter, and merchandise categories that drove our performance as well as any regional disparities. We will also share how inflation is affecting our costs and retails and how we think inflation will impact our business in FY24.  Our domestic same store sales were 1.7% this quarter, on top of last year's exceptionally strong 6.2% growth. I do want to reiterate what Bill said a moment ago, our execution improved materially over the quarter. And that execution, which is a hallmark of our success will ultimately deliver better results as we move forward. Our domestic commercial business grew 3.9%. Despite lower than anticipated, we believe we grew share and set another fourth quarter record with $1.5 billion in sales.  For the full year, we generated nearly $4.6 billion up 8.7% from last year. Domestic commercial sales represented 30% of our domestic auto parts sales, which is identical to last year. Our commercial sales growth continues to be driven by the key initiatives we have been working on for the last several years, improved satellite store availability, material improvements and hub and mega hub coverage, in addition to aggressive growth in the number of those types of stores.  We continue to strengthen the Duralast brand with an intense focus on high quality products. And we continue to deliver technological enhancements to make us easier to do business with. We are also operating more efficiently with improvements in delivery time and enhanced sales force effectiveness. In Q4, we opened 156 net new commercial programs, opening the majority of them late in the quarter, which had minimal impact on sales, but positions us well for FY24 and beyond.  With these moves, we now have commercial in over 90% of our domestic stores. We continue to see tremendous opportunity for commercial sales growth in FY24 and beyond. We're also very proud of our performance in domestic DIY. We had a positive 1.4% comp this quarter on top of last year's comp of 1.1%. Additionally for the year, we delivered 1.8% DIY on top of a 2.9% DIY comp last fiscal year, and 11.2% comp in FY21. These results are very solid considering the outsized growth we saw during the pandemic.  The fact that we continue to retain the vast majority of the share we built during the pandemic, and our recent performance gives us continued conviction about the sustainability into FY24.  Now let's focus on the sales cadence. Over the quarter, which spanned 16 weeks, early May through the end of August, as Bill mentioned, our same store sales were flat over the first weeks, but increased to 3.4% over the last eight weeks. We were encouraged by the trends we saw as the quarter ended.  Regarding weather, in May and June we experienced cooler and wetter weather trends across the country which negatively impacted our sales trends. By July however, it became very hot across much of the country, and it remained very hot through August. The heat and the associated rebound in sales helped us partially overcome a relatively mild winter, particularly in the Midwest and the Northeast, where weather sensitive hard part categories underperformed our expectation. We anticipate that the summer heat will give us some positive momentum as we head into fall. As a reminder, historically extreme weather, either hot or cold drives parts failures and accelerated maintenance.  Regarding the quarter's traffic versus ticket growth, in retail, our traffic was down 0.8% while our ticket was up 2%. Our transaction count improved as the quarter went along, and in fact, turned positive over the last eight weeks of the quarter. However, the average ticket being up only 2% was the weakest quarterly increase we've seen since FY 2000, as we lapped significantly higher inflation a year ago, where the ticket was up 8%.  Regarding commercial trends, we continue to see traffic and ticket growth, but our commercial ticket growth, just like retail, has shown a marked deceleration compared to recent history as hyperinflation begins to abate. For perspective, our ticket growth was 11% in Q4 last year, versus roughly 2% this year. As expected, some of our commercial customers are experiencing trade down and lower car count as the consumer comes under economic pressure.  In order to continue to grow our comps in '24 we will have to continue to increase share of wallet with our customers. The share data we see continues to encourage us that we are gaining share in the industry despite the macro trends, but recently, not in line with our aspirations, which we intend to change. During the quarter there were some geographic regions that did perform differently than others as there always are. This quarter we saw a material 315 basis point difference between the Northeast and the Midwest compared to the balance of the country, with the Northeast and the Midwest performing lower.  As the Northeast in the Midwest experienced a very mild, mild winter, with below average snowfall, we've seen less weather sensitive hard parts in this part of the country. Headed into the first quarter of the new fiscal year, we are not anticipating that weather will have a significant impact on sales.  Regarding our merchandise categories in the retail business, our sales floor categories outperformed our hard part categories. And our hard part business was essentially flat for the quarter. As I said previously, weather sensitive hard parts were clearly impacted by the milder winter weather, particularly in the Midwest and the Northeast.  Let me also address inflation in pricing. This quarter, we saw low single-digit inflation and as a result, our ticket average was up roughly 2%. We believe inflation for the first quarter will be similar to the fourth quarter as the industry is migrating back to pre-pandemic inflation levels and lapping high inflation from a year ago. I want to reiterate that our industry has been very disciplined about pricing for decades, and we expect that to continue.  Historically, as costs have increased the industry has increased pricing commensurately to maintain margins. It is also notable that following periods of higher inflation, our industry historically has not reduced pricing to reflect lower cost and we believe we have entered one of those periods. For the first quarter of 2024 we expect our DIY sales to be resilient and our commercial trends to improve. We will, as always, be transparent about what we are seeing and provide color on our markets and outlook as trends emerge.  Before handing the call to Jamere, I'd like to highlight and give some color on a few of our key business priorities for the new fiscal year. First, we continue to focus on our supply chain with two initiatives that are in flight to drive improved availability. One is our expanded hub and mega hub rollouts. And secondly, we are making good progress on transforming our supply chain. Our strategy is focused on leveraging the entire network to carry more inventory closer to the customer to drive sales growth with speed to customer and expanded availability.  Additionally, we plan on continuing to grow our Mexican and Brazilian businesses. With 804 stores open internationally or 12% of our store base these businesses had impressive performance last fiscal year and should continue to grow in 2024. We are leveraging many of the learnings we have in the U.S. to refine our offerings in Mexico and Brazil.  Now I'd like to turn the call over to Jamere Jackson.
Jamere Jackson: Thanks, Phil. And good morning everyone. As both Bill and Phil had previously discussed we had a solid fourth quarter, stacked on top of an impressive fourth quarter last year. 6.4% total company sales growth, 1.7% domestic comp, a 14.9% international comp on a constant currency basis, a 10.8% increase in EBIT, and a 14.7% increase in EPS. In addition, our results for the entire fiscal year were very strong as total sales grew 7.4% and EPS grew 12.9%.  We continue to deliver great results and the efforts of our AutoZoners in our stores and distribution centers have continued to enable us to grow our business and our earnings in a meaningful way.  To start this morning, let me take a few minutes to elaborate on the specifics in our P&L for Q4. For the quarter total sales were just under $5.7 billion, up 6.4%. For the year our total sales were $17.5 billion, up 7.4% versus last fiscal year. I continue to marvel at the strength of our business since FY19. Our sales are up an amazing 47% or nearly $5.6 billion since 2019.  Let me give a little more color on sales and our growth initiatives starting with our domestic commercial business. For the fourth quarter our domestic DIFM sales increased 3.9% to $1.5 billion and up 25.9% on a two year stack basis. Sales to our domestic DIFM customers represented 26% of our total company sales and 30% of our domestic auto parts sales.  Our average weekly sales per program were approximately $16,700, down 1.8%. Now it's important to point out that our sales per program productivity was impacted materially by the late in quarter openings of approximately 120 new programs. While these openings depressed the point in time productivity metric, we're encouraged by the growth prospects of these programs and their early contribution to our commercial business. These openings are part of our efforts to open more stores with commercial in response to the tremendous opportunity to grow our market share.  Our commercial acceleration initiatives are delivering the expected results, as we grow share by winning new business, and increasing our share of wallet with existing customers. We now have our commercial program and approximately 90% of our domestic stores, which leverages our DIY infrastructure. And we're building our business with national, regional and local accounts. This quarter we opened 156 net new programs, finishing with 5,682 total programs. As I've said since the outset of the year, commercial growth led the way in FY23, and we feel good about our prospects heading into the New Year.  For FY23, our commercial sales were $4.6 billion, up 8.7% versus last year, and up 37% from two years ago. Importantly, we have a lot of runway in front of us, and we expect to deliver on our goal of becoming a faster growing business. To support our commercial growth we now have 98 mega hub locations with 13 new stores opened in Q4. While I mentioned a moment ago, the commercial weekly sales per program average was $16,700 per program, the 98 mega hubs averaged significantly higher sales and are growing much faster than the balance of the commercial footprint. In fact, our commercial mega hub business grew twice as fast as our overall commercial business in Q4.  As a reminder, our mega hubs typically carry over 100,000 SKUs and drive tremendous sales lift inside the store box as well as serve as an expanded assortment source for other stores. The expansion of coverage and parts availability continues to deliver a meaningful sales lift to both our commercial and DIY business. These assets are performing well individually, and the fulfillment capability for the surrounding AutoZone stores is giving our customers access to thousands of additional parts and lifting the entire network.  We have an objective to reach 200 mega hubs supplemented by 300 regular hubs in the near term. Our AutoZoners and our customers are excited and we're determined to build on our strong momentum.  On the domestic retail side of our business, our DIY comp was up 1.4% for the quarter. For FY23 our DIY crop grew 1.8% and 4.7% on a two year stack basis. The business continues to be remarkably resilient as we've managed to deliver positive comp growth through the cycle. As Bill mentioned, we saw traffic down slightly and 2% ticket growth. As we move forward, we would expect to see slightly declining traffic counts offset by low to mid-single digit ticket growth, in line with the long term historical trends for the business driven by changes in technology and the durability of new parts.  Importantly, our DIY business has continued to strengthen competitively behind our growth initiatives. In addition, the market is experiencing a growing and ageing car part and a challenging new and used car sales market for our customers which continues to provide a tailwind for our business. These dynamics, ticket growth, growth initiatives and macro car part tailwind have driven a positive comp. We're forecasting a consistent and resilient DIY business environment for FY24.  Now I'll say a few words regarding our international business. As you may have noticed, we changed our disclosure on our international business, and we will continue to do so going forward. With 12% of our total store base outside of the U.S., the current revenue contribution and the growth prospects moving forward, we simply have to share more about international. We continue to be pleased with the progress we're making in Mexico and Brazil. During the quarter, we opened 27 new stores in Mexico to finish with 740 stores, and 17 new stores in Brazil ending with 100.  Our same store sales grew 34.1% on a reported basis and 14.9% on a constant currency basis. We remain committed to Mexico and Brazil, and given our success in these markets, we will accelerate the store opening pace going forward. By 2028, after a robust strategic review of the market and ultimate store comp potential, we revised our strategy and anticipate opening as many as 200 stores annually in these markets in a disciplined fashion, making this an attractive and meaningful contributor to AutoZone's future growth.  Now let me spend a few minutes on the rest of the P&L and gross margin. For the quarter our gross margin was 52.7%, up 118 basis points, driven primarily by a non-cash $30 million LIFO. credit this quarter. For Q4 last year, we had a $15 million LIFO charge. Excluding LIFO from both years, we had a 37 basis point improvement in gross margin.  I will point out that we now have $59 million in LIFO charges yet to be reversed through our P&L and we expect these to largely reverse over FY24. We're currently modeling $15 million in LIFO credits in Q1 as inflation continues to abate, and we turn our inventory. And as I've said previously, once we credit back the $59 million through the P&L, we will not take any more credits and we will begin to rebuild our unrecorded LIFO reserve.  Moving to operating expenses, our expenses were up 7.6% versus last year's Q4 as SG&A as a percentage of sales deleveraged 34 basis points. The accelerated growth in SG&A has been purposeful as we continue to invest in an accelerated pace in IT and payroll to underpin our growth initiatives. These investments will pay dividends in customer experience, speed and productivity. We are committed to being disciplined on SG&A growth as we move forward, and we will manage expenses in line with sales growth over time.  Moving to the rest of the P&L, EBIT for the quarter was $1.2 billion, up 10.8% versus the prior year, driven by our positive same store sales growth and gross margin improvements including the LIFO year-over-year benefit. EBIT for FY23 was just under $3.5 billion up 6.2% versus the prior year, also driven by strong top line growth. Interest expense for the quarter was $108.7 million, up 70% from Q4 a year ago as our debt outstanding at the end of the quarter was $7.7 billion versus $6.1 billion at Q4 and last year.  We're planning interest in the $88 million range for the first quarter of FY24 versus $57.7 million in this past year's first quarter. Higher debt levels and borrowing rates across the curve are driving this increase. For the quarter, our tax rate was 22.4% and up from last year's fourth quarter of 22.1%. This quarter's rate benefited 22 basis points from stock options exercised while last year had benefited 70 basis points. For the first quarter of FY24 we suggest investors model us at approximately 23.4% before any assumption on credits due to stock option exercises.  Moving to net income and EPS, net income for the quarter was $865 million, up 6.8% versus last year. Our diluted share count of 18.6 million was 6.9% lower than last year's fourth quarter. The combination of higher net income and lower share count drove earnings per share for the quarter to $46.46, up 14.7% for the quarter. For FY23 net income was $2.5 million, up 4.1% and earnings per share was $132.36, up 12.9%.  Now let me talk about our free cash flow for Q4. For the fourth quarter we generated $1.1 billion of operating cash and $701 million in free cash flow. For the year we generated $2.1 billion in free cash. We expect to continue being an incredibly strong cash flow generator going forward, and we remain committed to returning meaningful amounts of cash to our shareholders.  Regarding our balance sheet, our liquidity position remains very strong. And our leverage ratios remain below our historic norms. Our inventory per store was down 0.6% versus Q4 last year while total inventory increased 2.2% over the same period last year driven by new store growth. Net inventory, defined as merchandise inventory less accounts payable on a per store basis was a negative $201,000 versus negative $240,000 last year, and negative $215,000 last quarter. As a result, accounts payable, as a percent of gross inventory finished the quarter at 124.9% versus last year's Q4 of 129.5%.  Lastly, I'll spend a moment on capital allocation and our share repurchase program. We repurchased $1 billion of AutoZone stock in the quarter, and at quarter end we had just over $1.8 billion remaining under our share buyback authorization. The strong earnings, balance sheet and powerful free cash we generated this year has allowed us to buy back 8% of the shares outstanding since the beginning of the fiscal year. We have bought back over 100% of the then outstanding shares of stock since our buyback inception in 1998, while investing in our existing assets and growing our business.  We remain committed to this disciplined capital allocation approach that will enable us to invest in the business and return meaningful amounts to cash to shareholders. We finished Q4 2.3 times EBITDAR, which is below our historical objective of 2.5 times EBITDAR. However, we remain committed to our leverage objectives, and we expect to return to the 2.5 times target in FY24.  To wrap up, we remain committed to driving long term shareholder value by investing in our growth initiatives, driving robust earnings and cash and returning excess cash to our shareholders. Our strategy continues to work. We're growing our market share and improving our competitive position in a disciplined way. As we look forward to FY24, we're bullish on our growth prospects behind a resilient DIY business, a fast growing international business and a domestic commercial business that is continuing to grow share.  I continue to have tremendous confidence in our ability to drive significant and ongoing value for our shareholders driven by a high degree of confidence in our strategy, and our exceptional team of AutoZoners.  One last housekeeping point, I'd like to remind you that in FY24, we will have a 53rd week in our financial results. This extra week will be added to our Q4 results. As a result, our fiscal year will now end August 31, 2024. In order to model that extra week, I encourage you to look at our financial breakouts of both our fiscal 2019 and 2,013 fourth quarters, which were the last two years we had the extra week and we show breakouts of the full P&L accordingly.  And now I'll turn it back to Bill.
Bill Rhodes: Thank you, Jamere. As we start a new fiscal year, I'd like to take a moment to discuss our operating theme for the New Year, live the pledge. I know this sounds like a very consistent theme for AutoZone. In fact, it was the theme we used in my first full year as CEO in 2006.  I'm asked frequently, what differentiates AutoZone from others. My answer goes back to the same point over and over, the culture. I, our Board and our leadership team believe we can never emphasize the culture enough. The culture is defined by helping solve our customers' challenges and optimizing the performance of their vehicles. It's based on a team-based approach recognizing everyone's contributions and performance and putting team goals ahead of personal goals. It sets the standard at exceptional performance, not mediocrity.  It's about the AutoZone family. Calling yourself a family comes with great responsibility. And it is so much more. The pledge and our values summarize our operating strategies succinctly. As we've accelerated our top line since the onset of the pandemic, our competitive positioning has also materially improved. Our efforts for 2024 will be focused on execution. We have a lot of projects in flight, and we did get them completed. Supply chain improvements will remain a key focus in FY24.  We will continue with our additions of mega hub and hub stores, new distribution centers and international store growth. As you noticed our international teams posted same store sales comps on a constant currency basis of 14.9%, much higher than our domestic comp. International has been strong for a few years now.  This morning, I'm excited to share after an extensive strategic review of the ultimate number of locations we can have in the U.S., Mexico and Brazil. We are announcing our plans for a much more aggressive global store development plan. Over the last five years we've averaged 140 domestic store openings and 50 international openings for a total of roughly 190 new stores a year in the Americas. We plan on accelerating this pace and aspire to open as many as 500 stores five years from now.  So by FY28 we are modeling 500 store openings with the split being 300 in the U.S., 200 internationally. FY24 we will remain around 200, but we will ramp from there. You may be asking why this change of strategy and why now? The answer is our profitability per store is materially higher since the beginning of the pandemic. We continue to find new trade areas even in our more mature U.S. markets. Our growth in commercial has materially changed the economics on a per-store basis. We believe this is just the beginning on commercial, and our ROIC, one of the most important metrics we track is over 50%.  Also our international markets are immature. So we continue to see expansion opportunities in Mexico and Brazil, along with putting a toehold at some point in other new markets. I want to stress that we will be diligent and disciplined. We have a long track record of performance with high returns and strong cash flow generation. We have no plans on changing that strategy and approach, where we believe in evolution over revolution. We believe in continuous improvement and we believe in test and learn.  We have been, and remain anchored on our capital allocation strategy. While I spent time talking about our store development strategies for the future, that is not the key focus for us in FY24. The number one focus will be on growing share in our domestic commercial business. We believe we have a solid plan in place for growth over the next 12 months. We know our focus on parts availability and better customer service will lead to sales growth. We're excited as we start 2020.  This time of year, I always enjoy reflecting on the past. Our team achieved some impressive milestones this year, $17.5 billion in sales, racing past the $17 billion milestone. DIY comps are 1.8%, most impressively 15.9% on a three year basis. Commercial sales are now $4.6 billion. I personally distinctly remember a goal of $1 billion not that long ago. Average weekly sales domestically of $47,600, equating to just under $2.5 million per store annually.  Our Mexico and all data [ph] teams both broke multiple records, and Brazil is poised for significant growth in store count, and getting to profitability breakeven on the path to substantial profitability in the future. We bought back 3.7 billion in AutoZone stock, the second highest ever, only behind last year's 4.4 billion. And our team has grown our EBIT by 61% in four years. That's remarkable. But we can't rest on our laurels. And we aren't without our challenges. That's for sure.  As I've said on several occasions, we have to exit pandemic mode. We had to get back to taking care of the customer. And this requires as close to flawless execution as possible. We have to make sure every store is staffed right, every hour of every day, our processes need to function correctly, always. We have to meet our store opening goals and timelines. Simply put, we have to remain the execution machine that we have always been.  On June 26, we announced our leadership transition plan. And yesterday we announced the next evolution of AutoZone's senior most leadership team. I've had the honor and privilege of being part of this team for nearly 29 years now. And it has been one of the most rewarding experiences of my life. We, as part of that leadership transition plan, announced that I would step away from the President and CEO roles, but remain Executive Chairman in January.  As a Board we've been contemplating this transition for many, many years, and began a very robust well-defined disciplined process nearly three years ago. Our goal was to identify a successor and ensure that successor had a fabulous team with them. I think we've accomplished that goal. The company will be in fantastic hands with Phil Danielle leading it. He loves this business, is a car fanatic, and has been here for 30 years, and in the industry for nearly 40 years. With Jamere Jackson leading the finance and store development teams and Tom Newbern now serving as our Chief Operating Officer, in addition to the balance of our talented executive team, our company is in terrific hands.  While it will be bittersweet for me, I'm excited that Phil and the Board have asked me to continue to be very involved for the foreseeable future. Ultimately, I know Phil, Jamere, Tom and I all know, this is a team sport and ultimately it's not about the senior most leaders in this organization. It's about in our case, the pledge, our values, and most importantly, our culture, which at its core is all about having the best most passionate AutoZoners taking care of customers, and the organization prioritizing AutoZoners and their development, or we say -- as we say, caring about others.  Yesterday, we announced another organization changes with the promotion, Bill Hackney to Executive Vice President, Merchandising, Marketing and Supply Chain. I congratulate Bill, a 38 year AutoZoner who knows this business exceptionally well and has always been a top performer. We also announced that three terrific long term leaders will be retiring around the end of the calendar year. I thank and congratulate Grant McGee, Charlie Pleas and Al Saltiel, for their partnership, leadership and friendship for all these years. They leave AutoZone a massively better organization than they found it many years ago.  So changes in the air, frankly, it always is. It's amazing to me to see how much our leadership has changed over my near 30 year tenure at AutoZone. To me, that's why the culture. It's why the culture is so important in this organization. With a phenomenal culture, it's not about individuals. It's about the team. It's about the goals, and it's about performance. As we begin this transition, Phil and I both shared that not only do we both feel we embody the culture, both of us believe we are products of this culture.  We've learned extraordinary lessons from our three decades at AutoZone. Most importantly, always put the customer first, execution wins. People want to play on winning teams and be recognized for their performance. Details matter. Listen to those closest to the customer, and so much more. Phil and I, both continue to say, and it may sound like a cliché, but we believe it. AutoZone's best days lie ahead of us.  Now we'd like to open up the call for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session [Operator Instructions]. Thank you. Our first question is coming from Bret Jordan with Jefferies. Your line is live. 
Bret Jordan: Hey, good morning, guys.
Bill Rhodes: Good morning, Bret.
Philip Daniele: Hey, Bret. 
Bret Jordan: You called out market share gain in the commercial space in the fourth quarter. Then you said, not in line with your aspirations. But then also said that pricing is rational. What do you think is happening in the space? Are there peers that are showing relatively better in-stocks? Or really was it just your regional footprint and exposure to some of those softer markets that made the difference? 
Bill Rhodes: It's a terrific question, Bret. And there's a lot of different elements as you would expect. Again, we are not satisfied with our commercial growth at this level. And we're going to change that, and we're encouraged about the direction that we're heading. I think part of it Bret is a comparison versus last year. You mentioned in-stocks. Last year, 18 months ago, we got very aggressive with some key categories and a lot of merchandise, when frankly a lot of our less sophisticated competitors were not in great in-stock positions.  As we're beginning to lap that significant outsized growth last year, that's certainly a challenge for us. And we're beginning to get past that point in time. We also mentioned that we've had some challenges in the Midwest and Northeast, particularly with under cart categories, and particularly in commercial where we just didn't have that winner that we so desperately want and need. And we've suffered in those under cart categories.
Bret Jordan: Okay, great. And a big picture question, I guess on the international. When you look at the, obviously different vehicle demographic and economy, but how do you see the underlying growth rates in the DIY and the DIFM segments in Brazil and Mexico, sort of on a longer term basis?
Bill Rhodes: That's a great question. We've been in Mexico for nearly 25 years now. There's just not great data there, Bret. And so you don't have the terrific kind of information that we get from the Auto Care Association. So we don't have great data down there. We're working to try to see if we can get some better data. But what we know is we've been in Mexico now, as I said, almost 25 years and we continue to grow significantly and think that we have a lot of growth left in front of us, not just in new stores but on same store sales.  There are still categories where we are massively under penetrated, there are still categories we don't participate in at all. And as we learn more about that business, we're continuing to grow. Same things happened in Brazil. We're just much earlier in Brazil. 
Bret Jordan: But fair to think an older car base that drives a better underlying growth than U.S. 
Bill Rhodes: I think in Mexico, clearly the car basis is older, and there's a lot of U.S. cars, there's also a lot of Mexico manufactured vehicles. Brazil is very different in that the size of the vehicles and in particularly, the engine sizes in Brazil are massively smaller. I mean, if you have a two liter engine in Brazil, that's a big car. Many of them are 1.4 liters and the like. So we still got a lot to learn in Brazil. But we're excited about where we are. We believe we see a path to great success, but we're still losing money there. We got to fix that over the next couple of years. 
Bret Jordan: Great. Thank you. 
Bill Rhodes: Thank you.
Operator: Thank you. Our next question is coming from Simeon Gutman with Morgan Stanley. Your line is live.
Simeon Gutman : Good morning, everyone, and congratulations to the retirees and promotees. My first question is, I may have missed, is double digits still the goal for commercial? And if so what's the -- how should we think about the timeframe to getting there? 
Bill Rhodes: Absolutely is still the goal. Keep in mind, we still have pretty low share in that, 4.5% range or so. So we're under share. And we think there's still tremendous opportunity for us to gain share. Like we said, we're not happy with our performance in the Q4 timeframe. We do feel like we're exiting the quarter at a higher rate, and we believe will continue to improve from this point forward. But we're not back to where we want to be. But we do see line of sight to getting back to that double digit growth over time. 
Simeon Gutman : And then maybe the follow up, the way you've built the business in commercial, it's been methodical, and you've had some periods of faster growth. But it's been cumulative. And my question is now that you're focused on it, again, how do we get comfortable with timing that, prescriptively, your business really accelerates, call it in the next few quarters versus why not take the year to get some of the traction from the things that you're working on? 
Bill Rhodes: Well, like I said, we talked, in Q3 or Q4 that our execution in the commercial arena wasn't where we expected it to be. And we've been working on that. We saw that performance and the execution levels improve as we worked through Q4. We're not finished yet. We'll frankly, never be finished. Execution is a long term strategy. But we continue to get better. And we think we continue to improve our business model. Like we said, we've opened up more hubs, more mega hubs. We continue to strengthen our store side assortments. And we're also continuing to leverage the technology enhancements that we've made over the last couple of years.  And those will continue to mature. And we're not standing still. That technology enhancements will continue as we move through this next year. 
Simeon Gutman : Thank you. Good luck.
Operator: Thank you. Our next question is coming from Seth Sigman with Barclays. Your line is live.
Seth Sigman: Hey, good morning, everyone. And I'll add my congrats as well on all the new roles. Hey, want to follow up on the commercial business. And that last point, if you could maybe just elaborate on the execution shortfalls that you've seen. What are we talking about here, is that availability? Is it something more sales-related? Just any more context on that and how you're fixing that and the response so far? And then I'll add a follow up. Thank you.
Bill Rhodes: Now on the execution -- thanks for the question. On the execution, I think if you go back to the pandemic, and some of the challenges of the pandemic, we obviously struggled with in-stock. We struggled with staffing, as everybody did. And we struggled with store level execution. Our primary objectives were keep our AutoZoners safe, take care of the customers, keep our stores in-stock.  Nothing, there wasn't any -- this big one area that got broken. It was a lot of little things. And at AutoZone, we expect to operate executionally solid every single day. We didn't achieve that. We're continuing to work on that. And we're taking off the execution marks to get back to flawless execution day in and day out. That frankly, takes time and it will continue to improve. We liked the improvements we saw in Q4. I wouldn't say we're done. We think there's still opportunities to improve and we'll continue down that path. It's just part of our culture. Execute flawlessly.
Seth Sigman: Got it. Okay, that's helpful. And then I wanted to follow-up on another point made earlier about traffic and volume improving through the quarter, and I think that coincides with inflation moderating. Can you just give us a little bit more perspective on what you've seen historically, as it relates to elasticity? And then just in general, how are you thinking about inflation for this coming fiscal year? Thanks.
Bill Rhodes: Yeah. So the first point I'll make on inflation is that, we've been comping hyperinflation relative to our store industry trends for quite some time now. And so as inflation has sort of moderated and faded to sort of the normal rates, those are the dynamics that we've been experiencing. As it relates to our business moving forward, we expect inflation to be in the low-to-mid single digit range that will impact our tickets. On the DIY side, as we've said, we've historically seen transaction counts decline kind of low single digits, if you will.  And so we expect to be operating our business closer to historic norms moving forward. In terms of the macro environment, and how that's played out from an inflation standpoint. We haven't seen to this point, sort of a wobble from the consumer. We think it's been a two-speed world for a while where the low end consumer has been under some pressure, but consumers that have higher incomes have been doing well. And the net result of that is our business on the DIY side has been very, very resilient.
Seth Sigman: Okay. Thank you. 
Operator: Thank you. Our next question is coming from Elizabeth Suzuki with Bank of America. Your line is live.
Elizabeth Suzuki: Great, thank you. I just, a question on expansion and store growth. I mean, just given that the cost of construction and the cost of capital has gone up quite a bit in the last couple of years, how are you thinking about capital allocation? Just it seems like store growth is a pretty big part of your long term plans. But just thinking about where that capital can be best deployed, in which areas, maybe rural areas, or international, where you think you're going to get the best return?
Bill Rhodes: Yeah, thank you, Liz. We think we're going t o get a great return basically, in all three countries, whether that be urban environments or rural environments. And I go back to when you're running a ROIC of 50%, that shows that we can get really good returns. Yes, we're making this announcement when construction costs are higher, interest rates are higher and on and on. We're making decisions that are 40-year decisions. And we believe we've got a long runway for opening significant amounts of new stores. And once we finished that strategic review back in June, we made the decision that we're going to accelerate and get back to 500 stores a year.  Now remember, that'll be between 3% and 3.5% organic store growth. So it's not like we're talking about going to 10% growth. We think having something that's growing in that range makes a lot of sense for the long term.
Jamere Jackson: Now the only thing I'll add, Liz, is that, to your point around capital allocation, this doesn't change our long term capital allocation framework. Managing our leverage target at 2.5 times EBITDAR gives us a tremendous amount of financial firepower, to invest in our existing assets, to invest in this growth profile that Bill's talking about, but also to give meaningful amounts of cash back to shareholders. So doesn't change our long term capital allocation framework as we move forward.
Elizabeth Suzuki: Great, thank you. And then, you talked about Mexico and Brazil. Now in Brazil, you're still losing some money there. What does the profit profile look like in Mexico or just for the international operations in total? And how should we think about the impact on the total company margin profile as those stores grow as a percentage of AutoZone's total?
Bill Rhodes: Well, it's certainly a tale of two countries. We are losing money in Brazil. We haven't disclosed specifics in Mexico, but I'll just say that we are very pleased with the profitability profile, and particularly the return profile in Mexico.
Elizabeth Suzuki: Great, thank you. 
Bill Rhodes: Thank you.
Operator: Thank you. Our next question is coming from Chris Horvers with JPMorgan. Your line is live.
Christopher Horvers: Thanks. Good morning. Also wanted to follow up on the commercial side. You talked about 7% in the last four weeks. So to clarify was that comped, and as we look forward, clearly August was hot, and you got a weather bump there. So you talked about improving from what you've seen. I guess, what's the right trend line to think about of the 7% versus the 2.5% that you actually did for the quarter?
Bill Rhodes: Yeah, the 7%, just to be clear, was a total growth in those last four weeks of the quarter. So it improved over the quarter timeframe. I'd like to forecast that we're going to improve from there. It could be bumpy. Nothing's a straight line. I'll tell you, if you think about the weather performance over the quarter, like we said, the beginning parts of the quarter, the first month of May and June, were particularly cool and wet. And although that had probably a more material impact on the DIY side of the business, it impacts commercial as well.  And as it got hot, you see those bigger ticket categories, like per se, air conditioning, for example. Those are big categories and big jobs. And as you get those failures due to heat, it helps the comps and the total growth. So we think that weather story will help us a little bit. The hot summer will help us as we move through the beginning of Q4. And then we'll move into a normal weather pattern as we as we go through Q2 and the rest of the year.
Christopher Horvers: Got it? And then -- okay, got it. So the 7% was total. So the comp side of it [ph] for me was more like a 5%, I guess. Is that right? And then as you think about '24, any other high level comments? I know you don't guide. Jamere, you talked about some LIFO tailwinds that, persist early, and then probably turn to some year-over-year headwinds. Anything else to think about in the P&L in terms of SG&A per store, or other comments on gross margin and so forth? Thank you.
Jamere Jackson: Yeah. So as we think about FY24, I think there are a handful of dynamics that you need to sort of wrap your mind around as you build your models. Number one, we're forecasting a very consistent and resilient DIY business. And Phil and Bill talked about some of those dynamics as part of their prepared comments.  The second dynamic that we're focused on, as Phil alluded to, is an improving growth profile in our commercial business, again, we were very pleased with where we exited the fourth quarter. I believe we got the momentum going into the first quarter and next year. I think the third dynamic that you mentioned is around LIFO. We've got $59 million of LIFO that we expect to largely get back through the P&L. So as you're working your way through your modeling, you can expect most, if not all of that, to come back to us this year.  And then from an expense profile standpoint we said longer term SG&A will grow in line with sales. We are an investment mode, particularly in IT in some of the areas that are underpinning some of the growth initiatives that we're talking about. So that's how I focus.  And then the last one I just mentioned is just on -- from an international standpoint. You've seen us post our international numbers. This morning, we've got two years, quite frankly, where the business has been on fire. And we're very excited about the growth profile in our international business. So as you think about where we are, we feel good about the growth prospects going forward. We think, from a margin standpoint, we've made tremendous strides in gross margin excluding LIFO. And we've got a consistent, resilient domestic DIY business, which still is the lion's share of our businesses as we move forward. 
Christopher Horvers: Thank you.
Operator: Thank you. Our next question is coming from Michael Lasser with UBS. Your line is live.
Henry Carr : Hi, this is Henry Carr on behalf of Michael Lasser. Good morning, and thanks for taking our question. We've been hearing about elevated levels of deferred maintenance and weak car counts in the industry. When thinking about returning to a sustainable high single digit or low double digit growth in commercial, how are you factoring in this occurrence, is it a reaffirmed goal? And is there any way to quantify it? 
Bill Rhodes: Yeah, we don't have terrific data on that. Obviously, we're in our commercial customer shops all the time. And we're hearing the same things. Frankly, we've been hearing it since about February that car counts are down, particularly for people that are in the tire business. And as you know, when a technician takes off a tire, it provides a whole another opportunity for sales. You get a chance to see what's going on with the braking systems and chassis systems and the like.  So we don't have a great history on what are the exact members, but we think it is -- has been a softer environment. I think some of that has to do with the economic challenges that we're seeing. We haven't operated in the commercial business at this level for a long period of time. So we don't know the cycles like we do in the DIY business. But I think our belief is when economic pressures happen we get trade down from DIY to DIFM or sorry, from DIFM to DIY in certain cases. And I suspect that's what we're experiencing now.  How long will that last? You tell me what the economic cycle is going to look like. And again, we have a lot of discussions about short term sales performance. Our focus is not on the short term sales performance. Our focus is on what are we doing in our business to make our business better competitively? And how are we going to grow sales and share profitably over the long term? 
Henry Carr : Thank you. And just as a quick follow up, I believe the mega hubs came in at 13 in fourth quarter, and if I'm not mistaken that might be a little bit short of where you were targeting for '22 to '25 for full year, fiscal year '23. Are most of these openings just going to roll into 2023? Is there another way we should think about it? Thank you.
Bill Rhodes: You want me to do Jamere's performance review in public?
Jamere Jackson: I was just going to say, did he pay you to ask that question? So obviously, store development falls under my purview. We are short of where we need to be and when Phil and Bill talked about things that we need to execute better on, certainly what we're doing from a store development standpoint, fits squarely in that category. As I said, last quarter, we got 20 open this past fiscal year. We would have liked that number to be closer to 25. But what I'll tell you is that our pipeline is very strong as we move into FY24. And we're committed to get to the 200 number. So you'll see us start to accelerate that mega hub target.  And it's important for our business. It's important not just for the commercial business, but also for the DIY business, because of the outsized growth that we see in our mega hubs. So we're working our way through it, and we'll get better as we move forward.
Henry Carr : Thank you. 
Operator: Thank you. Our next question is coming from Seth Basham with Wedbush Securities. Your line is live.
Seth Basham: Thanks a lot, and good morning. My question is also on the commercial business, just in terms of where you're not getting as much share, as you expected. Is it in more in the national accounts versus [indiscernible] security accounts? Are there any specific regions that are underperforming your expectations?
Philip Daniele: Yeah, I mean, there's -- the national account versus what we call the UDS account or the general repair shop down the street, the business growth between the two has been pretty consistent. Frankly, I will say within some of those national accounts, I think it's been more around two segments that have not performed as well for us recently. One is the used car market, kind of the buy-here, pay-here, growth has not been as good and the used car markets that are sold within new car dealerships, those markets haven't been as good for us.  And like Bill mentioned earlier, the groups that deal with tires have been softer. We didn't have a great winter. Those tire changes, going from a summer tire to a winter tire and vice versa, didn't happen like you would normally expect. And as Bill mentioned, when you pull that tire off, and you get to see that the brakes are rusted and the calipers frozen and the suspension parts aren't working as well as they should be, or maybe something's broken, that opportunity to get the wheel off, just generates a bigger repair.  Now the other thing is, as people push maintenance off, there becomes more failures in the repair cycle. So longer term, pushing that deferred maintenance off is good for us. But those have been the pressure points over the last couple of months.
Seth Basham: Understand those being the pressure points, but would you assess those are also the areas where you're not getting as much share as you expected?
Philip Daniele: Yeah, I don't know that we're not gaining share in those categories. I think, over the last couple of years, we know we've grown a significant share in some of those categories. I believe everybody would be down pretty commensurately. And some of those categories aren't going to return to a more normal cycle until you go through another winter cycle of snow. So I think they will be depressed. We'll see those categories, be under a little bit of pressure until we get through another normal winter cycle.
Bill Rhodes: So I'll add that I do think, like we said earlier, we have -- we grew share exponentially over a couple of years. And part of that was because our in-stock position was massively better, certainly than our WD competitors. I think we've ceded some of that share back to them as they've gotten back in-stock.
Seth Basham: Yeah, that's exactly my follow up is going to be Bill, just thinking about that in-stock position, when we start to cycle that improvement by your competitors, is that here into the fiscal first quarter, or is it going to take another couple of quarters?
Bill Rhodes: I think we're beginning to cycle it now. But as you said, it's going to take some time not every category was the same, not everyone competitor was the same. So we'll probably be dealing with it for six more months but we probably past the height of it.
Seth Basham: Great. Thanks, guys. 
Bill Rhodes: Thank you.
Operator: Thank you. Our final question today will be coming from Scot Ciccarelli with Truist. Your line is live.
Scot Ciccarelli: Good morning, everyone. Thank you for the time. So I guess I'm still confused, outside of whether what has the main execution challenge has been on the commercial segment? Part one. And then part two, kind of related to that is, what specific changes are you making to the business to help accelerate growth as we kind of roll here into -- further into '24? Thank you.
Bill Rhodes: Thanks, Scot. I think the answer is there's not one single thing. I think we tried to make that clear. We -- as we've said, for the last two quarters, we were operating differently during the pandemic. Everybody had to operate differently. Because we were having to make decisions on the fly every day. As we've come out of the pandemic, we've lost a few of our disciplines. These are things like writing the right schedule. We've experienced exceptionally high turnover. We don't have the same level of, of experience in our stores that we had then.  And we've just got to get back to making sure that we're dotting the I's and crossing the t's. And we're delivering parts on time, that we've got the right hand stock levels, and on and on and on. There is not one major thing. These are thousand paper cuts. That has been the hallmark of this organization. I put our execution up against anybody. And we weren't as sharp as we needed to be, and we're making those improvements today.
Scot Ciccarelli: And then specific changes you're making. Is it just better blocking and tackling for lack of a better term Bill?
Bill Rhodes: I think that that is the biggest change that we're making. But that's not the sole thing that we're doing. Phil mentioned that we got a lot of technology that we've deployed in the commercial business. Over the last six months we've really refined that technology. And we're excited about what it means. We have two or three major technological enhancements that are coming in the first quarter or two this year, specifically in the commercial business that are all focused on how do we execute better? How do we decrease delivery times? How do we make sure that we're delivering the right parts at the right time? And we're excited about that.
Scot Ciccarelli: Got it. Thank you.
Bill Rhodes: All right. Thank you. All right. Before we conclude the call, I want to take a moment to reiterate we believe our industry is in a strong position. And our business model is solid. We're excited about our growth prospects for the year but we will take nothing for granted as we understand our customers have alternatives. We have exciting plans that should help us succeed for the future. But I want to stress that this is a marathon and not a sprint.  As we continue to focus on the basics and strive to optimize shareholder value for the future, we are confident AutoZone will continue to be very successful. Thank you for participating in today's call. Have a great day.
Operator: Thank you. This does conclude today's conference call. You may disconnect your lines at this time and we thank you for your participation.